Operator: Good day and welcome to the Unum Second Quarter 2018 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Tom White. Please go ahead, sir.
Tom White: Great. Thank you, Bettina. Good morning, everyone, and welcome to the second quarter 2018 earnings conference call for Unum. Our remarks today will include forward-looking statements, which are statements that are not of current or historical fact. As a result, actual results might differ materially from results suggested by these forward-looking statements. Information concerning factors that could cause results to differ appears in our filings with the Securities and Exchange Commission, and are also located in the sections titled Cautionary Statement Regarding Forward-looking Statements and Risk Factors in our annual report on Form 10-K for the fiscal year ended December 31, 2018 and subsequently filed Form 10-Q. Our SEC filings can be found in the Investors section of our website, at Unum.com. I remind you that the statements in today's call speak only as of the date they are made, and we undertake no obligation to publicly update or revise any forward-looking statements. A presentation of the most directly comparable GAAP measures and reconciliations of any non-GAAP financial measures included in today's presentation can be found in our statistical supplement in our website, in the Investors section. Participating in this morning's conference call are Unum's President and CEO, Rick McKenney; and CFO, Jack McGarry; as well as the CEOs of our business segments: Mike Simonds for Unum US; Peter O'Donnell for Unum UK; Tim Arnold for Colonial Life; and Steve Zabel for the Closed Block. And now, I'll turn the call over to Rick for his comments.
Richard McKenney: Thank you, Tom, and good morning, everyone. The second quarter was a very good quarter for the company. Our net income totaled $285 million, which is $1.29 per share. Our adjusted operating earnings per share of $1.30 is an increase of 24%, compared to $1.05 in the second quarter of 2017. Through the first six months of the year, our earnings per share has grown over 20%. Our result this quarter benefitted from the continuation of positive operating trends, including overall favorable benefits experience and solid premium growth in our core business lines. We are also benefitting from a lower tax rate. Our capital management has also kept pace with an additional $100 million of share repurchases this quarter, bringing up to $200 million. And finally, we have increased our dividend 13% in this quarter, marking the 10th year of a dividend increase. Looking closer at our core businesses, we are seeing good sales and premium growth, while maintaining strong margins, for our focus initiatives are paying off, as premium income grew almost 5% for our core businesses. Overall sales were up this quarter, led by a 14% increase at Colonial Life. Importantly, from a margin perspective, we generally saw overall favorable benefits experience across many of our lines. Our expense management efforts have also allowed us to keep expense ratio stable, while we invest in the future. Margins are very strong with an adjusted operating ROE of 18% for the first half of 2018 in our core business lines. Strategic investments are also producing, as our recently acquired dental insurance businesses grow their foothold in the U.S. and UK. The combined performance of our core franchise again produced solid consistent results and very healthy cash flows that allow us to continue a steady capital deployment plan. Our nearly 10,000 employees are doing a great job of protecting more people in both the U.S. and UK. For our shareholders however, these great efforts in serving our customers have been overshadowed in 2018 by our Closed Block of long-term care insurance. Managing our Closed Block of long-term care insurance has been something we've been doing for many years. After stopping sales of individual long-term care business almost a decade ago, we have been managing and monitoring our LTC line over time. We've taken price increases where appropriate and when trends have deviated from our assumptions we've updated them accordingly, which brings us to the first quarter this year. We had record levels of earnings, but the one challenge in the quarter was that we also saw a higher loss ratio in the LTC line of business. This was at a time when there was significant market focus on the LTC business throughout our industry. While we too were disappointed with our incidence results, we thought the reaction was not in alignment with our underlying trends in our reserve drivers. We have therefore accelerated the work during the quarter on our annual reserve analysis. We now anticipate that our reserve analysis will be completed in the third quarter of 2018. It is a significant undertaking and one that is still in progress. But we feel it is very important to give us much clarity as possible. To that end, Jack will give you more detail on the quarter's trends and our current view as we look to wrap up this work in the third quarter. Overall, we're committed to the strategy of being the leading provider of employee benefits at the workplace. To that end, our core business is executing well and has continued to grow and build momentum. The strength of our franchise has allowed us to generate financial flexibility to manage our Closed Block, and at the same time, return significant capital to shareholders. It is a strategy we will continue to execute throughout 2018 and beyond. And now, I'll turn the call over to Jack to cover the details of the second quarter. Jack?
Jack McGarry: Thank you, Rick, and good morning, everyone. I'll provide commentary on our operating results for the second quarter and update you on our progress on the reserve review for our long-term care, and what our current expectations are for that important work and its impact on our capital deployment plan. Beginning with Unum US, it was another good quarter with continued positive trends in premium income, very good persistency and favorable benefit ratio trends across our major business lines. Within Unum US, adjusted operating income for group disability declined by 11.7% to $81.6 million in the second quarter, primarily due to lower net investment income, resulting from a low level of assets backing this line and a lower portfolio yield. The amount of capital backing this business has been reduced with the update of statutory reserves in third quarter 2017 and the IBNR reserve update in the first quarter this year. The reduced capital, along with the steady pressure on portfolio yields puts pressure on the net investment income. With this stable earnings, we expect to continue to generate these lower capital levels are accretive to the adjusted ROE for the group disability line. We continue to see positive trends in risks experienced for group disability with the benefit ratio improving slightly to 76.2% in the second quarter, compared to 76.5% in the year-ago quarter, primarily driven by lower claims incidence in the group's long-term disability line, which was partially offset by higher claims incidence in some of the group short-term disability products. The group life and AD&D line had a very strong second quarter with adjusted operating income of $67.2 million, an increase of 10.3% from the year-ago quarter. Premium income increased 7.3% driven by improved overall persistency in our recent sales trends. The benefit ratio improved slightly to 70.3% in the second quarter from 70.6% in the year-ago quarter due primarily to favorable experience in the accidental death and dismemberment product line in a lower average claim size in the group life product line. The supplemental and voluntary lines continue to generate strong results with adjusted operating income increasing by 8.3% to $102.3 million in the second quarter. Premium income increased 4.7% for the second quarter, due to growth in our voluntary benefits business in the rapid growth being generated by the dental and vision product lines. Risk experience was favorable in the second quarter across the major product lines. Sales for Unum US in the second quarter declined by 5%, primarily driven by lower sales in the group disability and life lines. We did see some areas of strength in the individual disability line, the core market segment for voluntary benefits in the ongoing rollout of the dental and vision product lines. We continue to be pleased with the persistency in our Unum US business lines. For our group lines combined persistency for the first half of 2018 improved to 90.2% from 88% in the first half of 2017. Unum UK continues to operate in the difficult and uncertain environment. Given this backdrop, adjusted operating earnings declined in the second quarter to £20.4 million compared to £22.6 million in the year-ago quarter. Premium income increased 3% on a local currency basis this quarter, generated by - largely by improved persistency in the first half of 2018 in prior period sales growth. The Unum UK benefit ratio was 76.7% for the second quarter of 2018, up from 75.6% last year, driven primarily by higher group life claim volumes, which was partially offset by the favorable benefits experience we saw in the group disability line in the quarter. Unum UK sales for the second quarter increased by 4% year-over-year, driven by higher sales in group long-term disability, which offset slower sales in group life and supplemental lines. Persistency also improved, increasing to 86.8% for the first half of 2018 compared to 85.5% in the first half of 2017. The improvement is particularly encouraging given our active implementation of rate increases in the disability block. Colonial Life produced a strong result with adjusted operating income in the second quarter of $84.6 million, an increase of 3.4% from the year-ago quarter. Premium growth has trending well, increasing by 5.1% in the quarter. Overall benefits experience showed a slight improvement with the benefit ratio at 51% for the second quarter compared 51.3% in the year-ago quarter. The operating expense ratio for Colonial Life was slightly higher on a year-over-year comparison, primarily due to cost related to our territory expansion initiative, investments in our business and the rollout of the dental products in the Colonial Life distribution system. These investments are paying off as new sales at Colonial Life increased 13.6% in the second quarter compared to the year-ago quarter. The introduction of the dental product certainly helped with that growth with sales this quarter of $9.4 million. In addition to the strong dental rollout, sales from our other product categories all exhibited year-over-year growth. Sales also increased for both new accounts and existing accounts. Moving to the Closed Block adjusted operating income declined to $29.6 million in the second quarter of 2018 from $32.6 million in the year-ago quarter. In the individual disability product line, the interest adjusted loss ratio was 82.9% in the second quarter compared to 82.3% in the year-ago quarter. Underlying risk performance for this block was favorable, while the higher interest adjusted loss ratio reflects a reduction in the claim reserve discount rate to recognize the impact on future portfolio yield from higher miscellaneous investment income resulting from increased levels of bond calls and tenders. The results of the long-term care business line continue to be challenged as the interest adjusted benefit ratio increased to 96.9% in the second quarter this year, compared to the year-ago second quarter of 89.4% and 96.6% in the first quarter 2018. Benefits experienced this quarter was again driven by new claim incidence that ran higher than expected. Mortality impacts in the second quarter were not as favorable as in the first quarter and active life terminations improved to more normal levels. As we described in the first quarter, our long-term care results continue to be adversely impacted by the timing of rate increase approvals and the effect that has on premium income for this line. This has had the effect of increasing our reported loss ratio in the recent past by 3% to 4%. If we unlock our GAAP reserve assumptions with the reserve analysis currently underway, this impact to the benefit ratio will be eliminated. As Rick said in his opening comments and as you read in our earnings release, in light of the recent market focus on long-term care business performance, we accelerated the work on our long-term care annual reserve analysis. We now anticipate that our reserve analysis will be completed in the third quarter of 2018. Once completed, this work will include a review of all assumptions and incorporate our most recent experience. The review will also utilize internal and external data, as well as an outside actuarial consulting firm for quality assurance and industry benchmarking. Our current thinking, subject to the completion of our work is that we may need to increase our reserves as part of our third quarter closing process. Although, we still have work to complete and we are still assessing our assumptions, our current expectation is that any increase of our long-term care reserves will likely be predominantly a GAAP event and will likely not exceed $750 million after tax. We do not expect that any potential reserve increase will impact our ability to execute on our capital deployment plans, including our share repurchase strategy. However, consistent with past practices regarding trading windows, we will not execute on share repurchases until we announce the results of our reserve analysis. We currently anticipate resuming our share repurchase program of approximately $100 million per quarter, beginning in the fourth quarter of 2018 and continuing into 2019. We are presently inclined to repurchase additional shares in late 2018 or early 2019 above that historical run rate to compensate for foregoing buybacks in the third quarter. However, we will evaluate this as we get closer to the fourth quarter. We'll share with you more details about our 2019 capital plan at our December Investor Meeting. The process we've undertaken to analyze and update our reserve assumptions is consistent with past practices and reflect our active management at this block. We are updating our reserve assumptions to reflect the evolving claims experience and trends affecting the block. Our long-term care block is relatively young, and therefore, we want our assumptions to keep pace with emerging experience. We have also aggressively and successfully pursued rate increases on imports business as appropriate, which is the most effective way to manage the block. We have routinely made cash contributions to support the long-term care block and we anticipate these contributions each year in our capital deployment plans. Importantly, we are managing this block within the broader scope of a very successful and well positioned company, a market leader with strong consistent cash flow generation capabilities that are enhanced by the benefits of tax reform. We believe this is an effective path to manage the long-term care block and will help to minimize the disruption to Unum that can result from its volatility. It also leaves us with sufficient capital flexibility to fund our growth and return capital to shareholders, do share repurchases and dividend increases. Moving back to this quarter's trends in long-term care, it was also a favorable quarter from a new money yield perspective we are realizing on our long-term care portfolio as they continue to exceed expectations we have embedded in our current assumptions. Interest rates and bond spreads were favorable for us in the second quarter, which was beneficial for all of our product portfolios. Moving on, the company continues to produce healthy levels of statutory earnings from our traditional U.S. insurance companies. For the second quarter, statutory after-tax adjusted operating earnings totaled $249 million, compared to $225 million in the year-ago quarter. For the first half of 2018, our statutory after-tax adjusted operating earnings totaled $491 million. The capital position of our company remained very good shape. At the end of the second quarter, the risk-based capital ratio for our U.S. traditional life insurance companies was approximately 385%, while cash at our holding company's totaled $1.16 billion. The cash position includes $300 million from the issuance of junior subordinated notes during the second quarter. After the end of the second quarter, we paid off a $200 million maturing note, which subsequently reduced that cash position. Our return of capital to shareholders remains on a consistent path, as we repurchased another 100 million of stock in the quarter. Back in May, our board approved a 13% increase in our common stock dividend, the 10th consecutive annual increase. I'll wrap up by reiterating our expectation of growth in adjusted operating earnings per share in the 17% to 23% range for the year. The base of adjusted operating earnings from 2017 is $4.24 per share, and this projection excludes any potential reserve increase for our long-term care business. Now, I'll turn the call back to Rick for his closing comments.
Richard McKenney: Great. Thank you, Jack. I'd just reiterate, all in all, it's a solid quarter for the company. We are encouraged by the operating trends produced in our core businesses. And as Jack said, we are also aggressively working to complete our LTC reserve analysis, so that any potential impact can be part of our third quarter reporting, and we can provide more detail then. We will be happy to take your question. So I'd ask Bettina to begin the question-and-answer session, Bettina?
Operator: Thank you. [Operator Instructions] Our first question today comes from Mark Hughes of SunTrust. Please go ahead.
Mark Hughes: Yeah, thank you. Good morning. In evaluating…
Richard McKenney: Good morning.
Mark Hughes: Good morning, yes. In evaluating the long-term care block, you obviously had a jump in the claims incidence rate for the last couple of quarters. How much credibility do you give that when you forecast out over the life of the block? What the - can you give us some parameters about how this review or how your current thinking would incorporate this jump in frequency?
Jack McGarry: Yeah, so certainly we've incorporated recent claims experience into our reserve analysis. Long-term care is a very long-term product line. Two quarters isn't very credible relative to the long-term trend lines. We tend to look at those over multiyear periods. So certainly, it does have some impact and influences the outcome. But it's not a major driver of the outcome.
Mark Hughes: Then, in the short-term visibility you saw claims incidence up a bit, anything to read into that? Is that just a variation as far as you can tell or is there something emerging there?
Richard McKenney: Thanks, Mark. Mike Simonds, do you want to answer that?
Michael Simonds: Sure, happy to. Good morning, Mark. Short answer is, I wouldn't read anything too much into it. We saw a little bit of a pickup in new claim incidence for short-term disability, but in general feel good about where we're positioned in the product line. And that's also a product line given the nature of how credible the experience is, is that we're able to move pretty quickly from a renewal point of view as well. So that's a pretty - very good contributor to really healthy group disability segment. And while we did see a little bit of an uptick this quarter, I wouldn't expect the long-term issue there.
Mark Hughes: Thank you.
Richard McKenney: Thanks, Mark.
Operator: We will now take a question from Randy Binner of B. Riley FBR.
Randy Binner: Good morning, thanks. I wanted to ask one on the long-term care and the benefit ratio we saw in the second quarter, again in the high 90%s, and just to kind of reflect on how that stayed at that level relative to the first quarter. Back in the first quarter, I think the thought was that some flu activity effectively maybe pushed some of the population into a situation, where they went on claim. This benefit ratio does not appear to support that. And you mentioned that mortality just continues to be less favorable. So the net of my question is should we plan on this level or potentially higher ongoing interest adjusted benefit ratio in the high 90%s for LTC and in the Closed Block going forward?
Richard McKenney: So I would start looking at the quarter, compared to first quarter. In the first quarter, we did have high claims incidence. But we also had very high mortality and we had very unfavorable terminations in our active claim block, so deaths and lapses in the active claim block. I would say this quarter the incidence levels continued. However, mortality reverted more toward kind of our long-term expectations. Still a little bit above the long-term expectations, but much closer to it. But at the same time the active life terminations reverted back to - more towards the long-term norm as well. And so, those two things kind of offset each other in the quarter and we were left with a very similar level of loss ratio in the first quarter related to claims incidence. In terms of looking at claims incidence, two quarters does not trend make in long-term care. We've actually seen periods where there've been four and six quarters of either very low incidence or very elevated incidence that is turned around in other periods. So I wouldn't read too much into the second quarter and first quarter, it's not - we wouldn't have the expectation that this is it forever. With that said though, as we look at our reserve work and we update our assumptions, our assumptions will incorporate the current experience we're seeing. And so, post assumption review, I would not expect loss ratios in the high 90%s to continue.
Randy Binner: Yeah, understood. I mean, just picking up on Mark's question a little bit. If we keep seeing it in the high 90%s, I guess, the question is, is that reflective of the review. I guess, the answer is the review would probably expect a little bit lower benefit ratio to develop over time, because that's more consistent with historic trend, is that fair?
Richard McKenney: Yes.
Randy Binner: All right, great. Thanks a lot.
Operator: We will now take a question from Jimmy Bhullar of J.P. Morgan. Please go ahead.
Jimmy Bhullar: Hi. So first just on your guidance on the result for the long-term care review, how much of the expected amount roughly is because of these changes in interest rate assumptions versus incorporating the uptick in incidence that you have seen? And I think you've mentioned that you will assume higher incidence than before, but maybe not at the elevated level that you've seen in the first half of this year. But could you give us an idea on - if you were to assume similar incidences first quarter this year, how much higher would the $750 million amount end up being?
Richard McKenney: Yeah. So, Jimmy, we haven't completed our work yet and we still haven't finalized our assumption set. So we're not in a position to really parse those assumptions and talk about what the individual changes are. We do anticipate that we will provide more a specific guidance when we actually do finish the work and we announced the results of the work. But it's important to note that that this review is a comprehensive review. It's looking at all of the different assumptions. I think it's hard to find an assumption that stays the same as opposed to thinking about what assumptions change. But in aggregate, we feel very good about the progress that work is taking. We feel good about the limit we put out in the marketplace. And we think it will have a meaningful impact on the results of long-term care going forward.
Jimmy Bhullar: And then, if I could ask one more just on pricing and the competitive environment in the disability market, how that's trending and then also maybe discuss your weak sales this quarter, what really drove that?
Richard McKenney: Mike, do you want to talk about the environment, and maybe we'll turn it over to Peter O'Donnell to talk a little bit about the UK as well, after that.
Michael Simonds: Sure. Happy too. Good morning, Jimmy. Yeah, I would say first question is about the competitive market in the pricing and then second on sales. So first on competition, I think, first and foremost for us is the ability to keep and renew customers. And the story there continues to be a very good one. I think, Jack mentioned it persistency in the quarter and on a year-to-date basis is up a bit from a strong result last year just over 90%. So we feel really good about the value prop and the experience that we are delivering to the claim relative to alternatives in the market. I would say, what we would have seen in the first two quarters, in particular, as benefit of a frothier more aggressive new business pricing market, so sales have definitely been a mix. We are up a bit in the Unum US segment in the first quarter, down 5% here in the second quarter. So at the turn, mid-year were about flat year-over-year. And as we look forward in to the second half, I'd say, in general, feeling encouraged about the pipeline, where we have a line of sight in the kind of upper end of the mid. In large case market, we do have about 60% of our sales here yet to book. We've also taken a few actions around additional marketing programs. We started - looked to spur some growth. So we talked heading into the year about 4% to 6% sales year-over-year or full-year guidance, and I still think that's probably the best estimate for us. Longer-term, I'd say feel very good about our growth prospects are being able to continue to grow the business and accelerated in some spot, but in every case maintaining the underwriting discipline that allowed us to get the kind of margins and ROEs that we're targeting. That's sort of how I see the U.S. market, maybe I'll turn it over to Peter.
Richard McKenney: Peter, you want to take on a little bit of the environment you're seeing in the UK with pretty good sales results, but also just what you're seeing overall.
Peter O'Donnell: Yeah, I happy to do that. So I am sure you see the sort of break the headlines heading over to the U.S. and the UK. There is a media hype around Brexit, I would say from a business perspective, I think, I describe it is, it's dampening growth and businesses sort of a bit distracted at the moment from investing in their core franchises, as they try and sort of work through what Brexit might mean, and that is dampening our growth opportunities. However, I would say, we're performing very well in that marketplace. And like Mike, the first thing, we look out is the persistency results are we keeping customers, particularly, as we are still dealing with those low interest rates, the U.S. is recovered a bit. But the UK, while we might see on Thursday, rate increase but we haven't seen a lot of rate increases over the past two years as the government has the liberty, kept interest rates low to - sort of managed some of the dislocations. We are getting a lot of rate through our book and maintaining persistency and growing it a bit, so really happy with that and that's a really good sort of indicator of future prospects for us. As Rick said, sales were good in the quarter, we are up 4% year-on-year, so it's pretty happy with that, and particularly core sales were good, in particular with small and medium size businesses. So that was very, very good there and really happy with that. We did see the benefit ratio for slightly raised, nothing to worry about there just a little bit of volatility on the life line. And again, like Mike, as I look forward and we get through the Brexit dislocations in 2019. I think the marketplace, what we're doing with employers will be an area of significant growth for the UK economy in generation, but also for Unum within that, so we feel positive about the future.
Jimmy Bhullar: Thank you.
Richard McKenney: I appreciate that, Peter. I would - as we go through that, I think, we'd be remiss not to talk about Colonial Life, which also had an excellent quarter, still a competitive environment, but Tim and team here is doing a great job. Tim, any comments in terms of the good quarter that you had?
Timothy Arnold: Yeah, thanks, Rick. I think in the Investor Day last year, we heard the range of 8% to 12% from pushing toward the upper end of that range. The market is certainly competitive, but the employee pay benefits market continues to grow. Colonial Life has - I wouldn't say an entirely unique competitively advantageous distribution system, especially in the lower end of the market. So we feel great about growth in the rapidly growing small business segment. But we also feel really good about our competitive capabilities in the mid-market and even in the up market. About two-thirds of our business is through brokers and great relationships with our brokers, we continue to be very competitive in that segment. Public sector is a rapidly growing segment for us and a very large segment. So at the moment, we are feeling very good about our competitive position, our value prop and our growth prospects.
Jimmy Bhullar: Great. Thanks, Tim.
Richard McKenney: Thanks for the question, Jimmy.
Operator: We will now take a question from Alex Scott of Goldman Sachs. Please go ahead.
Alex Scott: Hi, good morning. I guess, the first question I had was just on the incidence rates that you've seen tick up. And when I think about following the review, I get that you will be at a lower benefit ratio. How should we think about range and if the benefit ratio begins to increase again, will you do deeper reviews more recently than you got in the past? And I guess on the individual block, in particular, like where are you in the duration of the book relatively like peak claims. And we're getting to a point, where you have to do deeper reviews like this more frequently?
Richard McKenney: Yeah, so maybe I'll start up, Alex, and just talk about the reviews. We do deep reviews all the time, I think that every year we're going through that, I think, what we are talking about here in the review is, is that a different depth and also incorporates a lot of external resources as part of that process. And I think that's key, the data, the people and everything else. This is going to be different. This is going to be deeper than we probably have done before, although, we do consistent deep reviews, analyzing this block really every quarter, and then certainly every year. And Jack, you want to talk a bit more about where we are now in the different incidence assumptions, et cetera.
Jack McGarry: Yeah, so you talked about the range of loss ratios that we would expect. And I'd remind you that we're in loss recognition, and so in loss recognition by definition, your reserves plus your future premiums need to be set equal to your benefits and expenses. And so, for us, that would continue to imply a long-term loss ratio in the 85% to 90% with expenses taking up the rest of the growth premium. So in loss recognition that we would expect to be - I'd still say that, that improves kind of your long-term loss ratio outlook. You're still going to have volatility around that, because it's still a - it's a very big block with a long way to go that that relative to kind of reserve margin, you have a very little premium in the block. And so the results can be volatile quarter-to-quarter, but again that's kind of where I'd gauge you. And I'd reiterate what Rick said, as we look at the assumptions all the time. The timing of the update aren't driven by a clock. The timing of the updates are driven by emerging experience. And when we feel, we have enough credible experience and that we need to take action on it.
Alex Scott: Got it. And then, my second question is just on cash flow, I know, statutory impact is sort of separate and GAAP impact is separate from the amount of cash that you guys actually put down into the long-term care captive as well as first Unum, the New York entity. So does anything around this review, change the amount of cash that you put down and can you kind of dimension the holdco cash balance for us a bit just in terms of what's contingent capital? What's earmarked for may be long-term care contributions? And what your view is, I guess, access that could be used for M&A or maybe a catch up and buyback?
Jack McGarry: Yeah, so, as we mentioned in my prepared comments, where we do, we are inclined to look at catching up on our buybacks. We are in a very strong cash position now, we ended the quarter at over $1 billion of cash and even after having paid off that maturing note. We are still at the high-end of our cash range. As we said the - if we do take a charge and there's a lot of work to be that remains to resolve that, it would be predominately a GAAP charge. We would see that potential for maybe some smaller statutory events mostly related to disabled life reserve updates that we might do. As you know, the active life reserves are locked in. But disabled life reserves are based on current assumptions. So we wouldn't see a material change in our capital position, as a result of this. We have built in our expectations for contributions to both first Unum as well as Fairwind into our capital outlook. Those contributions have not changed dramatically, and we still feel very comfortable with our capital plan flexibility.
Alex Scott: Okay, thanks.
Richard McKenney: Thank you, Alex.
Operator: We will now take a question from Humphrey Lee of Dowling & Partners. Please go ahead.
Humphrey Lee: Good morning, and thank you for taking my questions. Just to drill down a little more on the incidence. So if I look back in 2017, you had roughly 2,300 new claims in the year, so comparing that to kind of what you've seen in 2018, like how much worse are you seeing relative to your expectation? So if I were to assume kind of average of 200 claims per month using 2017 number. We're talking about 10 more claims or 50 more claims. Let's just how do you size the adverse impact that you've seen in the past two quarters?
Richard McKenney: Yeah, Humphrey, I'm going to have Steve Zabel will answer.
Steven Zabel: Yeah, great. Thanks for the question, Humphrey. Just one thing, I'd start out with the annual claim volume is more probably in the range of 4,000 claims a year, so just kind of for level setting. You may be looking at the information that only covers one of our legal entities or a subset of our block. But I'll go back to kind of what Jack said around just the relationship between the reserves on this block and the reserve margins in our premium levels. We have about $160 million of quarterly premium on this block. And so if you equate that to a loss ratio that's about $1.6 million for every point of loss ratio. Our average claim size is around $100 million - I'm sorry, $100,000 per claim. So you can kind of do the math and see that it doesn't take a whole lot from a variance of count to drive change in our loss ratio. So hopefully that gives you a little bit of perspective based on it's probably somewhere in the range of 400 to 500 claims a quarter.
Humphrey Lee: Got it. And then, so with the past two quarters like when you think about the drivers for the incidence? Have you seen any correlation between kind of implementing the rate increases driving entire selection? Or is there some other factors that is driving the incidence?
Steven Zabel: Yeah. Yeah, this is Steve, again. We obviously look at this on a week by week, month by month, quarter by quarter basis. And we've done a lot of analytics on it, we've looked at it kind of state by state. We've looked at it from just a benefit coverage, if there are certain sales there. And we've looked at it by a location of care as well as other factors. And frankly, we just haven't seen anything that you'd say is statistically credible to show a differing trend in any of those sales than what we've seen historically. So again, we take that all into account as we're going through our reserve analysis, but there's not kind of that one thing that you look at, and say that's driving the volatility.
Humphrey Lee: All right. If I can sneak in one more sort of a logistic question. So for the review, you expect to complete it by the third quarter. Do you anticipate it would be announced - it will be completed by the time of your release? Or if you were able to complete it earlier than your earnings release would you choose to preannounce the findings?
Steven Zabel: Yeah, we would certainly keep that open as an option, if we can complete it earlier. And we are applying a ton of resources to this work, we understand how important it is to provide clarity to the markets about where we are, and we're going to look to do that as soon as we possibly can.
Humphrey Lee: All right. Thank you.
Operator: We will now move to a question from Erik Bass of Autonomous Research. Please go ahead.
Erik Bass: Hi, thank you. Just one more on the long-term care review. And I guess, appreciate that you can't provide a lot of color on what assumption changes you're making at this point given that they haven't been finalized. But can you just talk about what gives you comfort in sizing the overall kind of maximum impact given that you haven't finalized the assumptions? And has the third party consultant been engaged with you throughout the process and are they providing input on the assumptions?
Jack McGarry: Yeah, so even though, we haven't finalized our assumption, there's still a lot of work to do. We haven't gone far enough, we've really done some of the experience analysis, we've kind of built kind of our framework around it. I think, we are far enough along and we see that there are a lot of assumption sets that we're looking at. There aren't assumption sets that at this point we think would cause us - cause to drive us outside of the range that we've given you. And so the ones, we're actually considering and looking at fall within that range, and actually then even below that. So we got to do the work, we need to finalize it. We're saying there may be a need to strengthen reserves. But we don't see that assumption sets we're looking at is going outside of that range. With respect to the third party actuarial consulting firm, they've been with us at every step. So we have been engaged in them in the review of assumptions. They've been very, very helpful for us. They provide an independent set of eyes, and have made suggestions along the way of ways we can look at things, they've provided access to outside data that we wouldn't necessarily have otherwise. They've been important in terms of industry benchmarking and making sure that the assumptions we're picking are consistent with where other people are in the industry. And they still have a lot of work ahead of them, because they're going to be very deeply involved in the validation and quality assurance work. So we have been keeping them to pay our board with what we're doing, they've been very helpful and looking at the work and lot more work to be done.
Erik Bass: Thank you for the color. And when you complete the review, is your intention to provide incremental disclosures on? How the assumption - the individual assumptions are changing, and maybe even any sensitivities to kind of future changes in those assumptions at that point?
Jack McGarry: Yeah, so Erik, I'd say at this point given that we haven't completed the work, we are really heads down on completing the work and driving to finalize this event. We do recognize there's a desire for additional disclosure in the marketplace as we come to a conclusion of the work, and we look at where our assumptions are. We will turn our attention to determining what level of disclosure, we'll have. We will try to be consistent with kind of where the marketplace is, and there will be more detail I just can't tell you exactly what level of details they will be until we get through the work.
Erik Bass: Got it. Thank you. I appreciate that. And just last, just quickly, if we assume that, if you make changes to your experience assumptions that that could be accompanied by the future rating or additional rate increase requests as well?
Jack McGarry: Yeah, I think, that's an important point to make, Erik. If you look at the reserve charge as being the only piece of strengthening of assumption, you'd be missing a big piece of what we're doing. And so when you look at reserves there's really three components of strengthening the underlying assumptions that the first is, that we had margin in our reserves under our current assumptions, because of the investment peak we've had over the last four years. And so the first thing that that any assumption strengthening would go to is to absorb that margin. The second piece is that, as we strengthen the underlying assumptions that we will also refresh our rate increase strategy. We are in a good position in terms of having logically completed the rate increases that we had underlying our 2014 assumption. So we have a lot of room on future rate increases that build into our assumption set. And then the third piece, once you've gone through those two is the actual reserve charge. So if you take those three components together, we're talking about a really robust strengthening of the underlying assumption set.
Erik Bass: Great. Thank you.
Richard McKenney: Thanks, Erik.
Operator: We will now take a question from Tom Gallagher of Evercore. Please go ahead.
Thomas Gallagher: Good morning. First, just to circle back on just understand the process a little bit on the long-term care review. So Jack, I think after you guys took the charge in 2014, you would describe that as unlikely to have to make any adjustments for probably at least another three years. Would you say the same will be true in this case? Based and realizing there's some caveats here, but at a high level. Is that still from a process and procedure standpoint still a reasonable expectation?
Jack McGarry: Yeah, I would say, when we took the charge in 2014, that statement was more related to the interest rate path as that we had, and you remember it was a pretty adverse interest rate environment. Our hope is that, this is our best guess of how things are going to play out over time. So we're hopeful that they would last longer than that. I mean, we're really feeling like we're putting together a robust best estimate of what the future is likely to hold. We'll continue to monitor experience as it emerges related to that, we certainly expect without something really dramatic happening for those. That assumptions set, they have a shelf life of at least that period. But we're also hopeful that it will last a lot longer than that.
Thomas Gallagher: So would that be in the case then, is it fair to say most of the adjustment that you're - your forecast based on the information now is longer term interest rate, discount rate adjustment in the model?
Jack McGarry: No. Again, we're deep in the work, but this is a comprehensive review of all assumptions. I think, as I stated earlier, it's - an assumption staying the same would be the exception. We're going to look at everything. We're going to update it for emerging experience. We're going to put together our best views and we would expect that that those views would play out over time.
Thomas Gallagher: Got it. And then the first half adverse experience that you guys have been highlighting, is that just adverse versus GAAP by the 6 to 7 points? Or is that adverse versus your statutory assumptions to?
Jack McGarry: That's a good question. And when you look at statutory versus GAAP, you really run your assumptions that on a GAAP basis, that's where you develop your best estimate of how things are going to play out. When you were - when you look at statutory reserves, you generally don't view statutory reserves as an assumption by assumption. You figure out what your best estimate of the future is, that's your GAAP reserve estimate, and then you test whether your statutory reserves are higher than that estimate. So you don't do the same review by assumption on a statutory basis that you do on a GAAP basis. I'd remind you that as of year-end, our statutory reserves were $1.1 billion higher than our GAAP reserves. When we update the assumptions based on anything we're seeing right now, we would still have a reasonable margin between our stat reserves and GAAP reserves. And you wouldn't be in a position of needing to strengthen your underlying statutory reserve assumptions. You wouldn't unwelcome unless your GAAP reserve best estimate was above your statutory reserves.
Thomas Gallagher: Yeah, that's why I ask, because the - I get that it's showing deterioration versus GAAP. But ultimately, what really matters here is it going to affect capital. And so, I guess, my question is just, if we just isolate the recent trend is that developing adversely or is that you have enough margin embedded in statutory, where that's not developing adversely, if I just isolate like the more recent experience?
Jack McGarry: Yeah, so even the more recent experience, our statutory reserves are on a steeper trajectory than our GAAP reserves are. And so you remember, for example, back in 2013 - 2014, we strengthened GAAP reserves. We said we had a several $100 million GAAP stat difference after that process. We're now at $1.1 billion. And so that excess strengthening - it's not really a strengthening, but the trajectory our statutory reserves are on is steeper than GAAP. We - as a result put capital into our subsidiaries on an ongoing basis, those capital contributions are built into our capital plans and have been a regular part of our capital plans over the long haul. We don't expect that to change. We expect statutory reserves to still grow faster than GAAP reserves. We expect to continue to fund that out of our capital plans. And that's built into our expectations for capital deployment.
Thomas Gallagher: Okay, thanks. And just one final one if I can. Just on, I appreciate you given out the commentary on capital return just now that you've given us the output. Can you give us some of the inputs, because it's pretty clear you have a pretty good amount of holdco cash, and you have the cash flow generated from your core business has been trending pretty good? But the - can you talk about the puts and the takes of how you get to the resuming the buyback between, do you need to delevered at all, assumingly if you hit the high end of the range with the GAAP book value impairment? Do you need to reduce leverage at all? And what are your - can you just give some ballpark of planned statutory contributions that you'd probably have to take this year in addition of potential deleveraging? Thanks.
Jack McGarry: Yeah, so from a leverage perspective, we ended the quarter at 27.4% leverage, when we paid off the $200 million maturity that brought that down to 20.8%. If you look at the impact of the reserve charge even at the top end of our range, that's 1.5% to 2% on the leverage. We'd be at the higher end of our leverage range, but still comfortably within it. We took that into consideration, for example, in the first quarter when we issued debt, we issued hybrids to get more favorable leverage treatment than senior unsecured notes. So we have a comfortable margin. The other thing is, we're growing our book value at 8% a year, pretty steadily they'll be a little hick up in that as a result of, if we do take a charge, but that 8% growth is pretty good at delevering the book in and of itself.
Thomas Gallagher: Okay, thanks.
Operator: We will now take a question from John Nadel of UBS. Please go ahead.
John Nadel: Hi, thank you. Good morning, everybody. A couple of more on long-term care, if I could. So Jack, if we think about the upper end of this potential GAAP reserve charge and on a pretax basis, I think that looks like $900 million to $950 million. What is your pro forma cushion between stat and GAAP reserves look like at that point? Is it down to just a couple of hundred million? And if we looked over the next couple of years, how fast does that cushion grow again?
Jack McGarry: Yeah, I would say, it's probably a little north of that at the higher end of the charge. A small piece of that charge, as we mentioned related to disabled life reserves will be both a GAAP and a stat event, so that reduces the impact a little bit on that GAAP stat difference. But we would expect it to continue to grow. It's been - that GAAP stat difference has grown a couple of hundred million dollars a year, over the past many years, and we would expect that to continue in the future.
John Nadel: Okay, okay. But pro forma for the charge, I'm assuming some small portion of this charge impacts that we're looking at the cushion at least immediate cushion post the charge at being what, $300 million, $400 million, $500 million, something in that range would be reasonable?
Jack McGarry: Yeah, I mean, we're still completing our work, and we haven't finalize our assumptions, but that would be a reasonable guess.
John Nadel: Okay. And then, just thinking about incidence, Jack, I appreciate the fact that your block is somewhat younger relative to some other blocks out there. But I guess it doesn't - and maybe my intuition here is wrong, but wouldn't it be more likely than that as your block ages and matures, the incidence and other experience that you see coming through today, for example, is far more credible than the experience, let's say last year or the year before that? So I guess, I'm surprised to hear that you've seen to be discounting your higher recent claims incidence here over the past two to three quarters as far as employing that incidence fully into your new assumptions?
Jack McGarry: Yeah, I mean, long-term care is a long slow haul. And so, things are getting older. But they're not getting older as fast as you would - it's not like the block ages a year, every year, because older people die out. And as a result, the actual aging of the block is a long-term thing. So there's nothing happening precipitously either around the credibility of the block, the aging of the block, or the underlying claims - claims experience that would make one or two quarters significantly more credible than things that have happened in the past. And again, you're looking at two quarters of experience against a decade of trend. So it wouldn't be a jumping off point. And if you look at our experience, again, I go back to it. If you plot our experience by quarter, it has been very volatile. There have been periods of two, three, four quarters where we've had significantly elevated experience. There's been periods of two, three, four quarters, where our incidence rates have been well below that trend line. And that's the nature of this business. It's going to be a long haul. It's going to be volatile. It's - but almost the good part of the business is that it allows you to manage it over the long haul, because things that emerge are not - there aren't cliff events in long-term care. They emerge over time, you get to see them coming. And I think we've done a pretty effective job at managing that over the past decade.
John Nadel: I appreciate all those comments. And then, I've got maybe two real quick last ones. If you think about the excess of the investment income you've generated over the past several years, since your fourth quarter 2014 update, how much is that worth in terms of the margin on your block today? I think you mentioned that, through assumption changes and the reserve charge would incorporate some of the strengths already in the block.
Richard McKenney: I mean, I wouldn't pinpoint exactly what's that worth. It's a meaningful amount. And what I do, what I actually would point you to, is the fact that despite the fact that we've had an increasing loss ratio over that period, our earnings have been rock steady. And so, that margin has really absorbed the pressure on the loss ratio. And so, I think I'd think about it that way, but we don't have the specific number pointing.
John Nadel: Okay. And then, just lastly, which outside actuarial firm are you actually using?
Richard McKenney: Yeah, we can't talk about that.
John Nadel: Okay, thank you.
Operator: We will now move to a question from Suneet Kamath of Citi. Please go ahead.
Suneet Laxman Kamath: Thanks, good morning. I just want to try to reconcile some of the stuff that you've been saying, because if I look at that $750 million charge or $950 million pre-tax, it's bigger than I think the prior two charges, 2011 and 2014. And based on what you're saying, it doesn't seem like incidence is really scaring you too much here, so I'm trying to understand it, where are the sources of pressure that's causing that charge to be so much bigger than what we've seen before despite the fact that you've taken these charges in the past and have gotten rate increases.
Richard McKenney: Yeah, so I don't think it's necessarily that much bigger than before. I think our 2011 charge was in the high 800s. So relative to the growth in reserve senses, and this is actually smaller than that charge, the charge in 2014 was around $700 million pre-tax. And again, the thing I'd point you to is we haven't completed the work yet. We haven't finalized where our reserve assumptions are. We've given you a number that we are not likely to exceed. We haven't given you a number yet. And so, I'd ask for your patience to allow us to do our work, allow us to finalize where our assumptions are, make sure that we validated those assumptions and done all the quality assurance. And, I mean, hold off, we're going as quickly as possible, but I'd wait to see where the charge is.
Suneet Laxman Kamath: Understood. I'm just trying to get a sense of how…
Richard McKenney: If there is a charge.
Suneet Laxman Kamath: Okay. So then, relatedly, I just wanted to, for sort of scorekeeping here, I think in the past you had not built in future rate actions that have not been filed for in your GAAP reserves. Is that approach going to be - is that right, A and then B? Is that approach - are you going to take a similar approach this time?
Steven Zabel: Yeah. Great, thanks for the question. This is Steve, Suneet. Yeah, that would be our approach. There was recently an Actuarial Guideline 51 issued that actually makes that a requirement of how you think at least for statutory reserve adequacy. It makes that a requirement of how you go about that best estimate. That had always been our methodology, is to have at least a planned rate action strategy in place, before we put any kind of estimate of future rate increases into our best estimate.
Suneet Laxman Kamath: Okay, got it. And then, just lastly on the 3 to 4 point bump that you're getting from the delay in rate approvals, I guess. I had thought or maybe I was wrong - but I had thought on the last call, the way it was described, it was that this would reverse over a couple of years. And so, my understanding was this is something that maybe the regulators that had agreed too, they were just kind of making a hold off on implementing. But I want to make sure that that's - is that right or –or because it made it seem like if you take the charge that assumption would essentially go away.
Richard McKenney: Yeah, yeah, so it wasn't expected to reverse over a couple of years just because we catch up to the premium level in the rate increases. They've been delayed, but we still expect to get them. And so, had nature taken its course that would reverse over a couple of years as we actually get approved for those rate increases and implement them. But the fact of the matter is it's a timing difference, not an economic difference. And so, as we update our assumptions, that it'd be one of the things we'd be able to clean up.
Suneet Laxman Kamath: Okay, got it. Thanks.
Richard McKenney: Thanks, Suneet.
Operator: We now take a question from Josh Shanker of Deutsche Bank. Please go ahead.
Joshua Shanker: Yeah, thanks. I appreciate you extending the call late to take my question. So I am going to pull a few things together. I mean, what you're saying here is that, that the recent claims experience is probably not in the assumptions that are going to be used, hopefully, to determine the charge, if there is one in 3Q. Is there a risk that the assumptions that you chose are inducing or are backing into the size of the charge rather than starting from the ground up of what you really have and saying. this is the facts on the ground right now and here is what they are. Why preannounce the charge, especially the charge whose incident rates are different from the ones you've most recently experienced? Am I wrong in thinking that there might be a risk of a method as you size everything up?
Jack McGarry: Yeah. It feels a little bit like you're assuming there is one assumption that's driving everything we do. That's not the case. We're looking at all the assumptions. And let me bring it back to the process we're going through to do this. The first step in that process is to do a thorough and exhaustive experience analysis, looking at emerging experience relative to our underlying assumptions. And so, we've made progress on the work. We've not completed that work as yet. But we've made enough progress to kind of understand the box we're playing, which is still a pretty wide box. So that's the first step. It's the underlying experience analysis. That experience analysis drives choices around what our best estimate of assumptions will be. As we make those choices, we run the results through our projection models. You need to step back and analyze those results, understand what the drivers are, understand not only the underlying reserve that that generates, but also understand how that reserve will function as experience emerges, and what the incidence of earnings that's likely to produce under different sets of scenarios. And after you've analyzed those results, it's an iterative process. So you'll go back and some of that analysis will identify things that you may want to tweak in the process. So we're working through that right now. So there's not a single assumption set. But it's not an engineering piece around here's the result we're engineering assumptions to get there. It's really an analysis of what we've experienced over the last 5 and 10 years, what we think that portents for the future, in making sure that we have a robust assumption set that covers that.
Richard McKenney: And I think there are two things you said, Josh, which are important. One it will include up-to-date assumptions through the point of when we make the determination. The second is you talked about being a top-down - it's absolutely a bottoms-up process as Jack talked about, down to every assumption, dataflow. And so, it rolls from the bottom up in the process and we'll see where the numbers come in. But I think that it's important, as Jack said, that we've seen enough now, where Jack and the team think they can make a reasonable call. And that's what we've done. But there's still work to do. And I certainly appreciate the work, the team is, they're going to close this process 50% faster with all the quality, with more people in the process. And we look forward to bringing that to you in the third quarter.
Joshua Shanker: And completely unrelated, can you weigh the pricing trends in disability right now, so where you thought they'd be today, given the tax reform impact that should be having on pricing front?
Richard McKenney: Go ahead, Mike Simonds.
Michael Simonds: Yeah, I can take it. So we when we talked about - I still think the logic that we went through, when we talked about the tax reform still holds, which is, in general, for the industry, it's a very - it's a relatively low margin business. A few of us tend to do a bit better. But when you look at what a tax reduction on the magnitude that we saw as a percentage of margin generated off of a business like group disability, and then translate it back to a percentage of premium, you're really only talking about 1 point to 2 points of pricing gravitation. And we would sort of see that as just kind of normal give and take in the market. So what we're seeing here in the first half, I wouldn't tie it directly back to the tax cut. I'd say in general, it is a bit more competitive than we experienced in 2017. But having been through this cycle many times, I would certainly not call it abnormal. And again, when I look at it, most important to us is are we able to place renewals, are clients sticking with us, persistency over 90%. It's a very good story. Renewals are actually tracking a bit ahead of plan in terms of placed rate increase, where we need to do so. And then, as I look at the pipeline for the second half, we are not going to abandon underwriting discipline. But I'm optimistic about growth in the segment.
Joshua Shanker: Thank you for the answers.
Operator: Our next question comes from Bob Glasspiegel of Janney Montgomery Scott.
Robert Glasspiegel: Good morning, Unum. Sorry to ask a group disability question. But it seems like you're - through 6 months, your investment income is down $16 million and your adjusted income statement, and your adjusted operating income is down $17 million. This is a point in the economic cycle, where having followed Unum since you went public, when the unemployment rate is dropping, and normally, the benefit ratios sort of drive improving underlying earnings. So it sounds like there's something more than just investment income, holding back comparisons, what would that be?
Richard McKenney: Well, Bob, first of all - it's Rick - I'd like to say we very much appreciate your group disability question. And let me turn that over to Mike.
Michael Simonds: Yeah, thanks. Bob, I appreciate the question. I mean, I think you do - maybe just stepping back even from the pure second quarter, I think you've hit on one of the primary headwinds when we think about before-tax operating earnings for group disability. And Jack highlighted it a bit. But when you think about just the - based on new money, a slow decline in the portfolio yield, yeah, you look at the work we've done around looking at reserves behind the line and finding some spots where we've updated assumptions and got a bit more capital efficient. And certainly, we have experienced favorable incidents. And as importantly, very steady and strong recovery patterns, which is leading to a modestly shrinking claim block. And when you kind of take the sum total of those changes, on the one had it means less income from invested assets that's a few million dollars of pressure if you look out it on a pure quarter over prior year pure quarter basis. And I think that that kind of order of magnitude headwind is going to persist, all else being equal over the next couple. That being said, a more capital efficient business is allowing us to generate a stronger return on equity. So we're now in the mid to high teens in the group disability business. It's a really healthy business. The stickiness of client retention we've highlighted across the group business, certainly true in group disability. The stability of the loss ratio just a tick over 76% here in the quarter and right in line with where we forecasted it would be at Investor Day. And then, when I look at it, I mean, I think where we're going to offset some of that headwind will be is, as we find ways to grow the business profitably. And to look at some of the trends we're seeing with growth in employee and contrib pay, in group disability. And then, as we grow our capabilities, particularly around absence management, regulatory compliance around leave, the growth in corporate leave solutions. We've added some technology in helping individual employees plan around leaves. And all those I think are contributing to a more bullish outcome for growth going forward. So I'd say that's one of the general picture on group disability.
Jack McGarry: Yeah, Bob, this is Jack McGarry. I would just sad that the relationship between our discount rates and our new money rates have improved pretty significantly over the past 6 months. Spreads are widened relative to yearend and underlying treasury rates have gone up as well, and we have benefited from that.
Robert Glasspiegel: Okay. And if I could sneak one long-term care question, can you remind me what your undiscounted reserve is for this block?
Jack McGarry: I'm not sure I understand that question. Undiscount, you mean…
Robert Glasspiegel: When you put up reserves - go ahead.
Jack McGarry: You mean like the sum of future benefits less premiums. We don't even - we don't look at that.
Robert Glasspiegel: I'm just trying to see, if you're off by 5% on the ultimate claim, before you discount it back all those years, what the sort of order of magnitude could be in sensitivity analysis?
Jack McGarry: Yeah, given the length of long-term care, you can't look at it from a non-discounted basis, and we haven't tried. Interest rates will continue to be a really important element of that analysis.
Robert Glasspiegel: I got you. Thank you.
Richard McKenney: Thanks, Bob.
Operator: We now take a question from Ryan Krueger of Keefe, Bruyette, & Woods. Please go ahead.
Richard McKenney: Good morning, Ryan.
Ryan Krueger: Hi, good morning. Just two quick ones, do you have an estimate for your yearend RBC ratio, contemplating tax reform and other factors?
Richard McKenney: Yeah. Actually, as the factors have changed - have played out, particularly some of the changes related to long-term care and disability, insurance risk factors, the impact of tax reform has not been as dramatic as we once thought it was. And so, we would expect to end the year kind of in that 360, 365 range.
Ryan Krueger: Thanks. And then, when you derive your capital plans, what do you typically assume for annual cash contribution to long-term care?
Jack McGarry: So it is tended to be - annual cash contributions have in that $100 million to $200 million range.
Ryan Krueger: Okay, great. Thank you.
Richard McKenney: Thanks, Ryan.
Operator: As a reminder - we will now move to our next question, which will come from Mark Dwelle of RBC Capital Markets. Please go ahead.
Mark Dwelle: Hey, good morning. Thanks for keeping the questions open. Just to - a point of clarification, there is something you had said in response to one of the prior questions. I mean, normally when we see reserve adjustments contemplated there, expressed kind of as an actuarial range, so are we meant to think of the $750 million guidance as kind of the 95% confidence level of the high-end of the actuarial range or is there a different way we should really contemplate that number?
Richard McKenney: Yeah, so again, we're in loss recognition. So anything we do with reserve assumptions are going to reflect our best estimate. So it's going to be kind of that 50-50 call we would expect. Actual emergence could go on either side of that. The $750 that we put out there, isn't like the high-end of an actuarial range. It's just saying that, what we know now, which is we're still doing the work and we haven't finalized the assumption set. We can't give you a number right now. But we believe that number would fall somewhere in between 0 and $750 million after-tax, when we actually finalize that. And we are working as hard as we possibly can to get that information to you as soon as possible.
Mark Dwelle: So it's fair that a considerably lower number is at least theoretically still in play. We shouldn't just assume that the needle automatically goes to $750 million and that's the starting point.
Richard McKenney: As I said earlier, I would ask you to indulge me with your patience. But, again, I wouldn't just assume that it goes to the top.
Mark Dwelle: Okay, thank you. That's helpful.
Richard McKenney: Thanks, Mark.
Operator: As there are currently no further questions, I would like to turn the call back over to your host today for any additional or closing remarks.
Richard McKenney: Yeah, thanks, Bettina. I would just thank everybody for taking the time and actually extending out a little bit. And hopefully, you got a good sense of the questions and I think Jack did a nice job of talking about the dimensions of what we're still working on. And so, we'll do that as we get through the year. We will be out there in the market, talking to all of you at a number of insurance conferences, investor meetings, over the next several weeks. And we look forward to seeing you then and working through our third quarter process. That's all we have for today. That completes our second quarter earnings call. Thanks, everyone.
Operator: Ladies and gentlemen, that will conclude today's conference call. Thank you for your participation. You may now disconnect.